Operator: Good day and welcome to the Origin Materials First Quarter 2025 Earnings Conference Call. All participants will be in a listen-only mode [Operator Instructions] Please note that this event is being recorded. I would now like to turn the conference over to Ryan Smith, Co-Founder and Chief Product Officer. Please go ahead.
Ryan Smith: Thank you. Good afternoon and thank you for joining us everyone. Speaking first today is Origin's CEO and Co-Founder, John Bissell; followed by CFO and COO, Matt Plavan. Then, we'll open the call to questions from analysts and discuss questions submitted as part of this quarter's Ask Origin campaign. Ahead of this call, Origin has issued its 2025 first quarter press release and presentation. These can be found on the Investor Relations section of our website at originmaterials.com. Please note that during our discussion today, we will be making forward-looking statements based on current expectations and assumptions, which are subject to risks and uncertainties. These statements reflect our view as of today, should not be relied upon as representative about views of any subsequent date, and we undertake no obligation to revise or publicly release the results of any revisions to these forward-looking statements in light of new information or future events. These statements are subject to a variety of risks and uncertainties that could cause actual results to differ materially from expectations. For further discussion on the material risks and other important factors that could affect our financial results, please refer to our filings with the SEC including our Quarterly Report on Form 10-Q filed today. During today’s call, we will discuss non-GAAP financial measures, which we believe are useful as supplemental measures of Origin Materials’ performance. These non-GAAP measures should be considered in addition to and not as substitutes for, or in isolation from GAAP results. You will find additional disclosures regarding the non-GAAP financial measures discussed on today’s call in our press release issued this afternoon and our filings with the SEC, which will be posted to our website. The webcast of this call will also be available on the Investor Relations section of our company website. With that, I will turn the call over to John.
John Bissell: Thank you, Ryan. Good afternoon. This quarter we continued to make progress commercializing our groundbreaking PET cap solution, representing a major development in sustainable packaging, product performance, and recycling circularity capable of addressing a $65 billion closures market. Over 20 companies are now qualifying or preparing for qualification of our caps, 6 of whom are in the Fortune 500 and collectively represent some of the world’s most iconic brands. Today we are pleased to announce a signed strategic customer agreement with a multibillion-dollar packaging company for the development of large format PET closures for the ready-to-drink, wine, and spirits market. We plan to share more on this over the coming months pending finalization of joint communications. Overall, demand for Origin’s groundbreaking PET cap solution is stronger than ever. At the same time, this quarter Origin faced two significant new challenges. First, customer product qualification is taking longer than previously projected. In light of these qualification delays, we are deferring the expected start of commercial-scale PET cap revenue generation by between one and three quarters. Therefore, we now expect to realize revenue of $50 million to $70 million in 2026 and $150 million to $210 million in 2027. And, because of the expected later onset of revenue generation, we now anticipate reaching run-rate Adjusted EBITDA positive by the back end of 2026. A number of investors have asked about the status of customer qualifications and why they are taking longer than we expected. First, some context. For a new HDPE or polypropylene cap, the typical qualification journey can take two to three years. Initially, we were optimistic that we could go faster than that, in part because our customers were intensely motivated to help bring our PET caps to market quickly, in light of their own goals for recyclability and lightweighting, which can have meaningful impacts on their bottom line driven by legal and regulatory considerations. As a result, we believed it would be aggressive but achievable to complete qualification with some of our larger prospective customers within six to twelve months. What we have learned is that PET cap qualification is more likely to take one year to two years from start to finish, in particular for our largest prospective customers, which have some of the most rigorous and varied testing requirements. We’ve learned that qualification is dynamic, can vary by customer, and is not a one-time, pass-fail exercise. Rather, a single customer qualification typically requires multiple cycles of design, production, shipment, testing, gathering feedback, updating the design, and repeating. For most customers, a single iteration cycle can take months, factoring in logistics, engineering, design, prototyping, testing, and the gathering, interpretation, and communication of data. We are moving through these cycles as quickly and efficiently as possible. Furthermore, we have found that individual bottling lines can behave differently, one to the next. For smaller brands operating on a single line, the impact of the bottling line itself on qualification can be minimal. For larger brands operating hundreds of bottling lines, testing is generally more demanding to ensure performance across bottling lines and regions. More variability means more potential points of failure that can cause delays, especially for larger companies that, although motivated to bring PET caps to market, have more comprehensive production and distribution channels than smaller, regional brands. Finally, our PET caps are brand new products no one has ever made before. The design is new and, before our caps, the material had never been used to make caps at commercial scale. This creates inherent challenges of the kind you would expect for a never been done before product. At the end of the day, we have work to do to qualify our PET caps. But we believe the challenges are surmountable and our team, and our partners, are up to the task. We are laser focused on making sure in due course our caps are on the bottles of some of the most iconic brands in the world, in a store near you. We are working hard every day on behalf of our customers and investors to bring our caps to the $65 billion closures market, where we believe we can drive a meaningful transformation in packaging. The alignment between ourselves and our customers is strong, our product market fit is strong, and we are committed to doing the work to qualify caps with our key prospective customers to support our mission. The second major challenge we faced this quarter was uncertainty resulting from the disruption of global manufacturing supply chains due to the imposition of tariffs and protectionist trade policies. Taking this reality into account, we revised our plan to assume the current 10% tariff on equipment imported from Europe and, in addition, we are updating our CapFormer deployment schedule as follows: Lines two through four are in fabrication now. Subsystem components have been secured and the lines are expected to complete Factory Acceptance Testing on a rolling basis this quarter and in Q3 2025. Lines five through eight are expected to complete Factory Acceptance Testing in Q4 2025 and Q1 2026. And for each line, we anticipate production starting approximately three months after Factory Acceptance Test completion. In response to evolving market and business conditions, including the evolving global tariff landscape, we are also providing the following updates to our execution strategy and plans. First, we are confirming our first customer pilot launch remains on track for Q3 2025. In Q2 2025, our caps completed customer qualification for a new brand and are pending bottling. We expect these beverages with PET closures to be on shelves in Q3 in the United States with one of our smaller customers within a limited geographic distribution. Second, we are further investing in supply chain preparedness. This includes developing proactive inventory strategies, long lead-time materials procurement initiatives, and multi-sourcing approaches designed to limit disruptions including those that could be caused by CapFormer subsystem supplier delays. Third, we are diversifying our manufacturing footprint. We are making strategic adjustments to our deployment plan, factoring in geographic diversification to minimize tariff exposure, with the overarching focus on building supply to meet demand in different regions of the world. Fourth, we have continued to invest in CapFormer add-ons to drive margin improvements. Origin has ordered its first two PET extrusion units. Owned extruders are an important element of our target line margins by supplying PET sheet onsite. Fifth and finally, this quarter we continued CapFormer technology development and made improvements in increasing the expected throughput of near term lines. We expect these improvements to resolve in CapFormer lines 2 and 3 each achieving roughly double the original throughput of line 1, with lines 4 and beyond roughly tripling the original output of line 1. Origin is exploring additional technology improvements that could result in further increases in line throughput as well. And now I’ll hand it over to Matt for a review of our expected near-term financial performance.
Matt Plavan: Thanks, John. Good afternoon, everyone. First, as John indicated, we are reiterating guidance for achievement of run-rate positive Adjusted EBITDA by the end of 2026, and updating our revenue guidance range for 2026 to $50 million to $70 million and we are adding 2027 revenue guidance for a range between $150 million and $210 million. We expect the threshold for reaching positive Adjusted EBITDA on a run-rate basis is between 8 and 10 CapFormer lines operating at scale, which we expect to achieve in 2026. Also detailed by John on the call, the timing of qualification completion is at the discretion of our customers and is unique to each. However, based upon broad timing expectations, we believe all customers currently qualifying our caps will have completed their testing between early to mid-2026, which dovetails with our expected manufacturing capacity ramp-up timeline. Second, inclusive of our assessed impact of current tariffs on our CapFormer line costs, we project Origin’s business model for value creation remains exceptionally positive. As such, we are confirming the attractive unit economics of our caps business and continue to expect the payback period for the average CapFormer line, separate from any extruders purchased as optional add-ons to improve margins, to be less than 18 months. Of course, should tariffs increase beyond current rates, particularly for the EU or other countries where we source equipment, we will reevaluate the impact, including on international shipment timing, and determine if further adjustments to Origin’s strategic plan are necessary. Lastly, we ended the quarter with a strong balance sheet, including $83 million in cash, cash equivalents, and marketable securities. We continue our efforts to line up debt financing for our CapFormer equipment purchases, with the goal of 50% to 70% total coverage, and staged drawdowns concurrent with the equipment delivery to optimize our total cost of capital. In addition to equipment debt financing, we expect to secure some level of corporate debt in the second half of 2025 in order to maintain a healthy minimum cash balance as we build manufacturing capacity to serve pent-up demand and to drive to run-rate profitability in 2026. With that, I will pass it back to John for concluding remarks.
John Bissell: Thanks, Matt. Despite new challenges related to product qualification and macroeconomic conditions, we are focused on what we can control and encouraged by a number of factors. Customer interest continues to be robust with over sixty-five new customer inquiries in the last six weeks alone. Prospective customers are highly engaged in qualifying our caps and are actively collaborating to advance the qualification process. We are confident these qualification challenges will be overcome in time while we stand up our manufacturing capability. We remain focused on our mission to enable the world’s transition to sustainable materials and we are excited about the work ahead of bringing our PET caps to market. We were pleased to announce a new signed customer agreement with a major packaging company today, and we look forward to sharing more progress with you on that front, and others, in the coming weeks and months ahead. With that, I’ll open up the call for questions. Operator, may we have the first question, please?
Operator: Thank you. [Operator Instructions] And your first question today will come from Steve Byrne with Bank of America. Please go ahead.
Unidentified Analyst: Hello. Good afternoon. This is Akim [ph] on for Steve Byrne. My first question is why is your revenue declining further? And at what level do you want Origin One? And is there a reason to keep the asset running currently? Thank you.
John Bissell: Sorry. Can I clarify? Are you asking about the revenue associated with Origin One?
Unidentified Analyst: Yes.
John Bissell: Not the cap forming systems? Okay. Got it. Yes. Sure. So Origin One is a plant that we have continued to operate intermittently in order to both supply customers with samples or to, frankly, develop process knowledge and product knowledge internally. We have been pretty explicit about turning down the operating rate substantially of Origin One so that we can use cash that would otherwise be tied up in working capital associated with that asset in other ways, because we think that’s prudent in order to appropriately pursue our caps and closures business. I think we’ve been pretty consistent about the nature of that strategy and the reasoning behind it. And I think this is we don’t see there is a really significant change in the operating rate or intent for Origin One between this past quarter and the few quarters before that.
Unidentified Analyst: Thank you. And why so I know you mentioned a little bit on the call about product qualification. Are there any exact such issues faced? And have your customers indicated any concerns with the PET caps not performing as expected?
John Bissell: Yes. Sure. So, as we described I appreciate the question, by the way. Thank you. As we described in our prepared remarks, there are a variety of different features that are important to our customers for any given cap and given product. Those customers don’t necessarily all test those various features the same way, which frankly was there’s more variability there than we had originally anticipated and seen. And so we’re seeing some variability there. Obviously, if we are going back and we’re iterating on a particular feature, that means that that feature wasn’t performing to the standard that that particular customer wanted that feature to perform to. And so certainly, there are cases where we’re going back and we’re changing designs. We had talked about one of those explicitly before, which was the addition of Neuralink specifically to the CAPS, which is something we did at the end of last year and delayed us by a matter of month and change, a little more than that. And so we expect that our cycle time can get faster on those kinds of iterative changes to the design. And yes, certainly, as we’re iterating on the design, it’s because we need to in order to meet a particular customer performance standard.
Unidentified Analyst: Okay. That makes a lot of sense. Thank you for clarifying that. A little bit on the balance sheet and CapEx. I know you also mentioned the tariffs a little bit, but can you give us an update on the EBITDA breakeven and the higher CapEx that you’re going to need due to the tariff environment right now?
John Bissell: Sure. Matt, do you want to take that one?
Matt Plavin: Sure. I think we mentioned in the prepared remarks that we think tariffs for some of our equipment that we’re shipping in from Europe is currently targeted to be about 10%. And so we kind of factored that into our estimates, and given updated guidance that it’s not going to have a material impact really on the ROIC of the equipment itself at this point, nor really our ability to stand up the eight lines and the timing that we laid out as well on the call. So at this point, we feel like we are in pretty good shape as we understand them at this time.
Unidentified Analyst: Thank you. And last one for me. Can you provide any more details on your new caps that will be available in Q3 and what regions too?
John Bissell: I think that the only detail that we can provide at this point is that we expect those caps to be H-ninety one caps, which we’ve already released the product spec sheet for and that we’ve announced as our initial cap. We’re not ready to release this specific region yet, but of course, once we once we get them out on we’ll out into the market, we’ll be able to talk a little bit more specifically about the brand and the customer and all those sorts of things.
Unidentified Analyst: Well, thank you guys so much. I appreciate you taking my questions.
John Bissell: No problem.
Operator: And your next question today will come from Frank Mitsch with Fermium Research. Please go ahead.
Unidentified Analyst: Hey, guys. It’s Aviza [ph] on for Frank. My first question was, hey. If you guys had an update on the sales process for that, the 183 [ph] acre lot in Geismar. Any update there?
John Bissell: Yes. Matt, you want to take that.
Matt Plavin: Sure. So you will see disclosed in the queue that we actually have sold, 35 of those 80, 180 acres. And the remaining portion, it remains for sale and we have we’re optimistic that we’ll see a transaction on that in the relatively near future, but that’s difficult to predict any more precisely than that.
Unidentified Analyst: Got it. Okay. And, Matt, I guess another one for you. The press release alludes to the financing options you guys are looking at. Any more color you can provide there as far as, preferences over the equipment financing and taking on debt for the eight lines?
Matt Plavin: Yes. I -- generally, with this type of equipment, there’s, some amount of equity down that they expect. We’ve seen terms anywhere from 50% to 100% loan to value. I think we’re going to end up likely between 50% and 70% as we’ve indicated here. We’re shooting for as high as we can. And then it would be the balance that we would look to cover off with corporate debt. And as we’ve given this updated guidance, of course, pushing back one to three quarters, there was some gross margin, of course, that we expected during that period of time. So whether it’s one, two or three, I think it’s going to be a mix of qualifications coming in over that period of time. And so to the degree that we’re not producing the gross profit that we’d previously projected, we would probably pick that up as well in some corporate debt just to make sure that we maintain a comfortable level of cash as we work through the point where we’re profitable.
Unidentified Analyst: Got it. Thank you guys.
John Bissell: Thanks, [Indiscernible]. Appreciate it.
Operator: Thank you. Now I’ll turn it over to Ryan Smith, Co-Founder and Chief Product Officer for a Q&A section answering Ask Origin questions submitted by investors prior to today’s call.
Ryan Smith: Thank you, operator. Prior to our earnings call, we invited all investors to submit questions as part of our Ask Origin campaign. Thank you so much to everyone who participated. These questions were of course submitted before our call today and we answered many of them thoroughly with our prepared remarks. We’ll generally be answering the most relevant questions today during the time we have. So let’s start with the first question for you, John. The investor asks, have any customers qualified Origin’s PET CAPS yet?
John Bissell: Yes. The pilot customer launch that I referenced earlier and it’s targeted for Q3 has qualified our CAPS for their test launch purposes. This is an example of how that qualification process can really vary quite a bit between customers. This turned out to be a pretty ideal fit for us and a pretty unique opportunity for us to get apps in market in a new brand. In this case, it will be in Flatwater versus CSD in the 1881 format. And that really gives us the opportunity to learn in market while we’re still qualifying with some of the larger brands, so we’re excited about it. We are confident that we’re going to be able to qualify our caps all the way through. And this is a good starting point.
Ryan Smith: Great. Next question is related, which is asking, why is qualification taking so much longer than expected?
John Bissell: Yes. So I talked about this, obviously, in prepared remarks a little bit with one of the analysts earlier. And I think that the challenge for us was the variability, as I sort of alluded to, in the qualification processes for our customers, and that’s been somewhat surprising. We really anticipated a somewhat more standard battery of tests through here. And as a consequence, the variation in the way that these customers test and also the variability in how our cap gets applied during those tests, or I should say in preparation to do those tests, is something that we have learned a lot about in the last quarter or so. And we’re finding that there are real changes that we need to iterative changes that we need to make on some of the features of the cap to make it work to the standard that we need our customers to get to. Look, we’re excited about it. We feel like we are learning really quickly and that we’re improving our iteration time quite dramatically. In some cases, we’ve taken steps of the process that we’re taking many weeks, you know, or even months, actually, at a certain point, and we’ve reduced that particular step down to roughly ten days. So we’re making huge strides in how quickly we can iterate on these cap designs in order to respond to the customer feedback that we’re getting during qualification. But, no matter how you slice it, that just takes time. It’s the reality of things.
Ryan Smith: Got it. Next question is what is the status of the $100 million MOU and when will that turn into a contract?
John Bissell: Yes. So the MOU is still in place to be clear. As we explained in our last earnings call, that $100 million MOU is over a two-year period that starts when we ship our first lot of product to that customer, which has not happened yet. That’s a post qualification activity. So we still see that revenue from that that is sort of associated with that MOU as in the future, and it’s part of our forecasting. We very much see this as a 100% active, and it’s only a matter of when, not if, that MOU converts over into a signed offtake agreement or whatever the appropriate structure ends up being to serve that customer. But, again, we have to get through this qualification process. Otherwise, we can’t proceed with some of those other components of the business. It’s just the reality.
Ryan Smith: Thank you. A couple questions for you, Matt. First is, when will revenue realization begin? Last quarter, you said commercial scale revenue generation will begin in Q4 2025. That’s now shifted. So what can we expect?
Matt Plavin: Yes. So I’ll reiterate a little bit about what we shared in the prepared comments. Yes, in order to get customers the time they need and get this everything to their preference and liking, one to three quarters is what we said. We think we want to make this adjustment once And so, of course internally our expectation is that our customers will qualify toward the earlier end versus the later end of that period, but we want to make sure we’re only doing this once. So the revenue ramp should begin during that period. And as I mentioned in the call, it is our expectation as we’ve talked with our customers about what’s the outside window and when you think you’d be ready to go and it would be, highly disappointing if say, August, September rolled around and they all hadn’t fully completed, so we expect they will. And so the exact timing is difficult, but we feel pretty good that everybody will be in the stable by mid-2026. We are building the eight lines as we laid out and so we’ll have plenty of capacity to produce those taps, generate that revenue and add eight to 10 lines, which we will have up in 2026, we will be profitable at full scale. So that’s the new outlook which we remain pretty enthusiastic about. The demand continues to be overwhelming and that’s the North Star for us.
Ryan Smith: Thank you. Number of questions came in asking how we plan to fund the growth of the company. Things like how much capital do you need to raise? When do you need it? Where are going to source it from? What if you can’t get sufficient debt capital? Are you going to do an equity raise? Do you want to speak to that? A - Matt Plavin Yes, sure. Kind of responded to [Indiscernible] very similar question, but let me reiterate because it is an important one. We are currently engaged with multiple equipment lenders and making good progress towards securing equipment. And as I mentioned, that’s generally going to be 50% to 70% coverage of that equipment. We are also in the process of sourcing corporate debt to cover off the balance of whatever we are not able to get in terms of debt coverage for the equipment, through equipment lenders. We are, as we as we have in the balance sheet stated, we got 83 million as of the end of the quarter. I do want to clarify that there’s been some, I think people take a look at the P&L and there’s a number of non-cash charges that you’ll see in our expenses. But I’d like to kind of cut through and clarify that the cash expenses generally for the quarters for us this last quarter and what we expect going forward are going to be pretty consistent around 11 million to 12 million. So, with 83 in in the bank now and cash expenses between 11 and 12 quarter, the only other outlay of cash is for that equipment, should there not be a debt coverage at the time we have to pay progress payments. So I think we’re managing that pretty closely. And so it really is a matter of managing, to bring in the debt according to when those payments are owed. And, I think that’ll, service pretty well in getting through the year and being able to stay the course with the debt financing that we’re planning. And so at the moment, we continue to see a viable path to financing our growth through debt financings. If for some reason we had to be in the capital equity markets because we could not source enough or sufficient debt capital, we believe that that amount would be pretty minimal. And that is because the timeframe to commercial milestone achievement that would, we think, more effectively open up new debt financing options would be minimal. So, I think the confidence in staying out of the equity markets remains pretty high for us.
Ryan Smith: Got it. Thanks, Matt. I’m going to come back to you, John, to close us out with this last question the investor asked. What do I have to get excited about in the future?
John Bissell: Yes. So I think despite the delays that we have in qualification, I think there’s a lot to be excited about. We’ve got three more cap farmers nearing completion on a rolling basis in Q2 and Q3. Those are going to be going through factory acceptance testing. We’re excited about that. We’re looking forward to building our capacity over the course of 2025 and 2026 and of course, beyond to meet this pretty overwhelming demand for these caps that we’re seeing. And ultimately, that relay or parlays into extremely strong business fundamentals. Our demand is just incredibly strong. Customer interest is 65 new customer inquiries in the last six weeks alone. A new signed customer agreement with a major packaging company, which we look forward to sharing more about in the months ahead. And there are lots of customers that are right on the cusp of being able to make some announcements with us. And the fact that we haven’t been able to do that yet really is no indication that we’re not going to be able to get there. We have a lot in the pipeline and a lot going on, and we’re really excited about it. It’s just taking us a little bit longer than we were expecting.
Ryan Smith: Thanks very much. This concludes our call for the day.
Operator: Conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.